Operator: Greetings, and welcome to Floor & Decor Holdings Inc. First Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.It is now my pleasure to introduce your host Wayne Hood, Vice President of Investor Relations. Thank you. You may begin.
Wayne Hood: Thank you, operator, and good afternoon, everyone. Joining me on our earnings conference call today are Tom Taylor, Chief Executive Officer; Lisa Laube, President; and Trevor Lang, Executive Vice President and Chief Financial Officer.Before we get started, I’d like to remind you everyone of the company’s Safe Harbor language. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. The company’s actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. Floor & Decor assumes no obligation to update any such forward-looking statements.Please also note that past performance or market information is not a guarantee of future results. During this conference call, the company will discuss non-GAAP financial measures as defined by SEC Regulation G. We believe non-GAAP disclosures enable investors to better understand our core operating performance on a comparable basis between periods. A reconciliation of each of these non-GAAP measures to the most directly comparable GAAP financial measure can be found in our earnings press release, which is available on our Investor Relations website at ir.flooranddecor.com. A recorded replay of this call, together with related materials, will be available on our Investor Relations website.Let me now turn the call over to Tom.
Thomas Taylor: Thank you, Wayne, and thanks to everyone for taking the time to join us on our first quarter 2020 earnings conference call. Before we get started, I just want to thank our entire Floor & Décor team particularly our store associates. They have enthusiastically come together in a way to protect the health and safety of all of our associates and Customers Aheir efforts have truly been inspirational and are a real testament for the culture of the organization, which continues to rise to the occasion to face new challenges that have been placed in front of them.The global spread of the novel coronavirus pandemic and the subsequent economic impacts we're facing is truly unprecedented. On today's call I will discuss some of the highlights of our first quarter 2020 earnings results and then spend more time discussing some of the operational changes that we are making in our stores and store support center to enable us to continue to serve our Pro and do-it-yourself customers and retain sales during this challenging and uncertain time.I will discuss in more detail how we're building on our successful and convenient curbside model that we pivoted to in March by adding Pro appointments and are now rolling it out across the country. Additionally, I will touch on our limited customer entry approach that is happening in two of our Utah stores today. We do see a path forward to restoring growth against the challenging headwinds that we and others are facing. We're encouraged by the impact all of our strategies are now having on our sales trends and to the response from our Pro appointment strategy and white glove service it offers that sets us apart.All of our actions have been and will continue to be taken with an eye towards first protecting the health and safety of our associates and customers. Later Trevor will review our first quarter financial performance in more detail and then discuss how we are managing our liquidity, cash flow and profitability in a way that not only bridges us through the COVID-19 pandemic but ensures we are well positioned on the other side.Strength of our balance sheet and access to liquidity enables us to continue to provide our customers quality, trend right assortment at the lowest possible price. This will directly contribute to further market share growth in 2020 and beyond as consolidation in the hard surface flooring industry likely accelerates as many independent foreign retailers may struggle to maintain liquidity in this unprecedented time.Let me start with our first quarter earnings. As you saw in our press release our fiscal 2020 first quarter sales increased 16.3% to $554.9 million and our comparable store sales grew 2.4%. Our first quarter comparable store transactions declined 1% and our comparable store average ticket increased 3.4%. Prior to the last six days of fiscal March, which is our largest sales month of the quarter, we were pleased that our quarter to date comparable store sales grew 6.1% in line with our expectations.The growth during that period reflected a 3.4% increase in comparable store transactions and a 2.7% growth in comparable store average ticket. We are pleased with our first quarter 2020 sales results considering we experienced a sharp unexpected 46% decline in comparable store sales in the last six days of fiscal March as the impact from COVID-19 pandemic to more of our markets.IN response to the pandemic, we proactively begin limiting our store operations to convenient curbside pickup on March 21 and in some cases, we were forced to completely close stores. Despite the unexpected sales declines in late March, we are pleased that our first quarter fiscal 2020 GAAP diluted earnings per share increased 20.7% $0.35 from $0.29 in the first quarter of 2019, primarily due to a favorable gross margin and lower than planned corporate expense. Our first quarter adjusted diluted earnings per share increased 17.2% to $0.34 from $0.29 in the first quarter of 2019 at the high-end of our expectations.Now let me discuss in more detail some of the near-term operational changes that we have made during this period of uncertainty. In late March, we assembled cross functional leaders to develop strategies and procedures designed to quickly adjust our operating model while implementing safety protocols for our associates and customers. The collaboration within this group and the creativity of the entire organization has enabled us to retain a significant amount of sales even as our stores have limited operations or in some cases are completely closed.As a point of reference we had as many as 33 warehouse stores or 26.8% of the company completely closed at some point in late March. Today there are only four warehouse stores that are completely closed. The remaining stores are open with shortened operating hours for convenient curbside product pick up a product, which can be ordered online via phone or through our Pro app. We are slowly allowing our stores across the country to conduct Pro appointments in our showrooms.Additionally, in our two stores in Utah, we are testing allowing both DIY and professional customers to enter our showrooms with appropriate occupancy limits. As local conditions change we intend to do this across the US. At this juncture, it is difficult for us to know when our stores will return to full operations. We do expect our reopening will be staggered and dictated by local, state and government authorities and health official mandates.Because we do expect our stores to eventually open to full operations, we have chosen to protect our full-time associates from furlough albeit they're working reduced hours. All four of our distribution centers are open and fully supporting our stores today including shipping personal protective equipment to our stores. Nearly all of our stores support center associates are supporting our stores remotely which speaks to the strength of our business continuity plans.The curbside model that we pivoted to in March focuses on our strengths, as customers enter our parking lot, they will be met by a greeter outside who will qualify the needs of that customer. Once the needs are determined, the customer is sent to a designated area to be served or loaded. Additionally, we moved to small selection of bulk out installation materials outside and added designated runners that can quickly grab samples in the store, thereby making it more convenient and safer for our customers.In fact many pros would like us to maintain this level of concierge service post the impact of the pandemic. We strongly believe that our pros will remember how we are helping them to continue to operate their business during this challenging period. It is exactly during these challenging periods that we believe we can build on our brand awareness and our long-term relationships to further grow our market share.From a merchandising perspective we have moved most of our best-selling SKUs outside I believe our large rolling inspirational merchandising fixtures give us a unique competitive advantage as they allowed us to easily move our great displays outside. This is particularly important when we are displaying luxury vinyl plank, large-format tile, designer pics and other hard surface flooring products. Finally, we added the capability for customers to pay curbside with the mobile point-of-sale register.Now turning to our new stores we have opened three new warehouse stores in the first quarter of 2020 including new warehouse stores in La Quinta and Sacramento, California and Algonquin, Illinois. The first quarter openings brought the total number of warehouse stores that we operate to 123 stores up 19.4% from the 103 stores at the end of the first quarter 2019.We had originally planned to open two more stores in late March, but due to the pandemic we have delayed those openings. The pandemic which has caused state and local restrictions on new construction, which has forced us to push some of our new store openings to later in the year or into 2021. For the fiscal 2020 full year, we now believe it is financially prudent to temporally slow our new store growth and we consider all of the near-term headwinds caused by the COVID-19 pandemic.To that end we now anticipate open 11 warehouse stores and have designed store piloting in Dallas in 2020 compared with our prior plan of 24 new warehouse stores in the design store pilot. We are taking a partnership approach with our landlords and we are engaged with them to discuss near-term rent deferments. We can't be specific about these fluid negotiations, but we are encouraged that our landlord partners are sympathetic to the challenges we and others are facing with reduced store operations and closed stores.That said we are leveraging our legal options under our lease agreements and renegotiated locations with unexecuted leases. I think most of our landlords recognize that we are one of the few retailers that have plans to open stores over the long run and want to work with us as a tentative choice. Trevor will cover in his remarks the capital spending and cost of savings that we expect from the temporary reduction in new store openings.Moving on to our comparable store sales, as concerned about the COVID-19 pandemic mounted in March, we were still seeing pros continuing to shop with us despite other parts of the economy that were beginning to shut down. Though we were pleased that our first quarter comparable store sales grew 6.1% through Friday, March 20. That changed during the last six days of the quarter where we experienced a 46% decline in comparable store sales as we were forced to close stores, reducing our operating hours and shift the curbside pickup.While it is not our normal practice to provide inter-quarter sales information, we do want to share that our second quarter to date comparable store sales have declined 50%. While none of us are satisfied with this rate of decline, recent trends are slightly improving and we have seen a surge in our sample sales, which tell us customers are interested in flooring projects. This coupled with our strategies to recapture sales and more phased full store openings in the coming months leaves us optimistic about the further improvements going forward.Turning to our first quarter sales performance within some of our merchandising categories. Consistent with previous quarters our best-performing category was our laminate luxury vinyl plank category, which increased 28.2% and represented 22% of our total sales compared to 20% in the first quarter of last year. This category continues to resonate with our customers as it has superior technical features, is very durable and easy to install.We were also pleased with our sales in installation materials, which increased 18.7% and represented 17% of our sales. The changes we have made and how our installation materials are presented and are improving operating processes is driving sustainable growth in this very important category for our professional customers. Our adjacent category business which includes vanities, shower doors, countertops and bath accessories continues to grow and we'll be adding product throughout the year in many of our store locations.While the sales dollar volume in this category is not material today the growth is strong and we believe it offers incremental growth opportunities. As I mentioned it has been inspiring to see how our store and store support center associates have enthusiastically rallied together in creative ways to meet the unique combination of challenges caused by the COVID-19 pandemic to continue to serve our customers. Let me discuss another example.Due to the high demand from our customers to still engage with our product offering, we introduced a virtual design appointment experience in April that is now operating in all of our stores. This is an example of how we're building on our connected customer strategies and our stores and designers are excited about this service offering. By providing this free live virtual video and chat experience, we expand our ability to connect and collaborate with customers that are contemplating a flooring project, but might be under shelter and place restrictions or just prefer the ease of starting their project at home first with a cloud-based videoconference.This strategy leverages our website resources including a room visualizer, my order quote builder and allows our designers to connect with customers while maintaining social distancing guidelines. Designers can virtually walk customers through a store and share inspirational ideas and collaborate with customers on their desktop browsers and on mobile devices in high definition. Meetings are easy to schedule through our website and additional participants can be invited.Also as we've previously discussed when a designer is involved in a project our average ticket and margin rate is significantly higher than the company average. We have modified our advertising spend and messaging. We did this with an eye towards letting our pros and do-it-yourself customers know that our stores are open with banners and yard signs and how they can continue to shop with us for hard surface flooring products online or via the telephone. We choose to protect our spending on search, social YouTube and Pinterest as we see customers are still using this media looking for ideas and inspiration.We've also extended our 18 month no interest credit offering through May 31, which will give our pros and do-it-yourselfers an additional line of liquidity for projects. Additionally, in May we will launch our Pro premier rewards incentive program where they can earn double and triple points based on their spend. We have decided to pause the second quarter 2020 launch of our Pro premier credit card until the operating environment improves.Flooranddecor.com and our call center have been critical to staying engage with our professional and do-it-yourself customers. The multiyear investments we have made in our connected customer strategy is paying off to help customers find us, educate themselves and be inspired virtually. As customers gain comfort and ultimately buy online and pick up in stores or have shipped to their job site, our technology allows for simple and safe social distancing access to our full product assortment.As we move to the curbside operating model, our e-commerce site has made it very easy for our customer to place an order online and then just pick it up at the store. Since the model change our e-commerce business is sequentially up 270% and now represents approximately 60% of our company sales. We have also invested in the talented call center team and when combined with advanced technology, it has allowed us to flex up and to handle the significant increase in call volume we're experiencing.To help manage the overflow we added store supports center associates to assist on the phone who are working with customers to help them complete their projects in this new business environment. Beyond providing critical support during these challenging times, our call center also has emerged as a functional business that drives revenues through its follow-up programs, which we began testing late last year.We continue to make great progress in investing and growing the all-important professional and commercial customer base. We continue to find pros, cultivate relationships and serve them well. Our value message is clear and easy for the professional customer to understand. We are open and we are your hard surface flooring supply house. It all starts with substantial quantities of trend right, in stock inventory at consistently low prices, combined with services such as a dedicated protein, free design services, free storage, a great loyalty program and credit.Once pros are identified and input into our proprietary CRM solution, we have many ways to serve and communicate value to them, including through our Pro premier rewards loyalty program, email marketing, direct communication from our in-store proteins and through our Pro approximately, which continues to be used at higher and higher rates. We are confident these strategies continue to work.Two simple examples, in the first quarter our top 500 pros spent over double what they have spent a year before with us and our commercial big job sales which are generally sold to commercial clients and are much larger than our normal sales were up 67% in the first quarter. During this difficult time, we know these investments and unique solutions are important to our professional customers. We have heard loud and clear from our pros that they appreciate how we are proactively working with them to safely support them during this challenging time and they like us look forward to us reopening our doors again.The economic outlook and associated sales and liquidity challenges facing many retailers cause us to believe that we will see further store closures and industry consolidation and we plan to remain the hard surface flooring retailer of choice on the other side. After the COVID-19 pandemic starts to phase, this will be time for us to take more market share.Moving on to some of our near-term cost-saving measures. We have taken steps to judiciously resize our cost structure to protect our liquidity, profitability and cash flow during this uncertain period. While most of these decisions were difficult for us to make, we made them with an eye towards not placing at risk our longer-term growth priorities and our competitive position. In late March we made the difficult decision to resize our store and store support center payroll costs in anticipation that sales could continue to decline for some period of time from the COVID-19 pandemic and that a recovery could be slow once the economy begins to reopen.We were forced to furlough about 2,,000 of our part-time associates. Part-time associates account for about 30% of our in-store associate hours and our full-time associate account for the remaining 70%. While we have currently not furloughed our full-time store associates, we did reduce their hours to 32 hours from approximately 40 hours per week and our department had hours from 240 hours per week from approximately 45 hours per week. As business conditions improve we are prepared to play offense by flexing up the hours of our full-time associates.The base salaries of our senior management team as well as other teammates in our store support center were temporarily reduced by graduated amounts. I will not receive a base salary other than the amount that will cover the benefits provided by the company. The base salaries for Lisa Laube, our President and Trevor were both reduced by 50%. Our Board of Directors also agreed to temporarily suspend their cash retainers.Let me close by saying again how inspiring it has been to see how our store and store support associates have rallied together to the unique combination of challenges caused by the COVID-19 pandemic. Their tireless and creative efforts have enabled us to continue to serve our customers, particularly our pros that operate small businesses. We have ended fiscal 2019 and the quarter of 2020 in a strong quarter of financial position with our sales, EBITDA and liquidity at the highest levels in our 20 year history.We believe we have correctly resized our cost structure and capital spending plans and have adequate access to liquidity to bridge us through this challenging time. Our confidence in the power of our business model and our ability to navigate this crisis is unwavering and we will remain committed to long-term profitable growth.I will now turn the call over to Trevor to discuss in more details our first quarter financial results and how we are thinking about managing our liquidity, profitability and cash flow during these unprecedented times.
Trevor Lang: Thank you, Tom. Let me being by saying that our entire executive leadership team is extremely proud of how we have quickly changed our operations to meet the challenges of the COVID-19 pandemic. It is a testament to our incredibly thousand associates and the investments we've made in our business model and technology that enable us to quickly pivot to a curbside model and leverage our e-commerce investments.As Tom mentioned, since the implement curbside pickup, our e-commerce business is up 270% sequentially and now represents 60% of our company sales. The investments we've made in ecommerce and changes in store operations have enabled us to retain a significant amount of sales while our stores are closed to the public. I am proud of immediacy and resilient that our organization has demonstrated and how it bonds us even more than before to crisis. We are confident that we will come out of this as strong as ever and will continue to grow in the future.As you saw in our press release, we like many other companies have chosen to withdraw our prior sales and earnings guidance and outlook statements with respect to fiscal 2020, as we believe there are just too many unknown variables that will affect our results. I will tell you we've never worked harder and closer as a team to manage our business. While the quarter to have an experienced board and management team that has been together for a long time.We believe the short and long-term decisions we've made will set us apart -- as we look at this pandemic and we will remain strong with other side of COVID-19.I am going to begin by focusing on how we're managing our liquidity, cash flow, profitability during these challenging times and then briefly discuss our first quarter results. First, we're fortunate to have refinanced our term loan facility and our revolving credit facility on February 14, 2020. Our performance, conservative leverage and refinance debt has put us in the best position in our 20-year history including the most liquidity in our history.Refinancing gives us access to high levels of cash at lower cost with maturity dates far in the future. Let me point out some of the features of our credit facilities that give us financial flexibility if needed. At the end of the first quarter of 2020 we had a $144,600,000 million outstanding under our term loan facility with a maturity date of February 14, 2027. Our term loan facility includes an accordion feature that allows us under certain circumstances to increase the size of our facility by the amount up to the greater of $270 million or 100% of consolidated EBITDA.We also could increase the term loan facility by an additional amount under certain conditions including if such an increase is secured on a pay and proceed basis with loan under the term loan facility up to a consolidated leverage ratio of 2.5. If such we're secured on a unit basis with the loans on the term loan facility up to a consolidated secured leverage ratio of 3.5 and if such increases is unsecured up to a consolidated total leverage ratio of 3.5 started to certain adjustments under certain circumstances we would also increase our consolidated total leverage to 4.5.The inability to increase the facility of course assumes that debt markets are functioning and currently they are albeit at more expensive levels than we renegotiate our debt in February. In conjunction with our term loan amendment we also amended an upside to the Asset Based Lending agreement or ABL facility to $400 million and it's maturity date of February 14, 2005. The ABL facility has an accordion feature that allows us to increase its size up to $500 million or an even higher amount if agreed to by our lenders.We can draw on our ABL facility up to certain percentages of available borrowing base of inventory and credit by receivables less certain reserves. As a precautionary and proactive measure, we drew $275 million or approximately 80% of what was available on our ABL facility in late March as uncertain in the credit markets escalated. At first quarter of 2020 our net debt to adjusted EBITDA excluding preopening expenses was 0.5 and 2.7 on a lease adjusted leverage basis.In order for our leverage to go to three times which would not be an aggressive leverage ratio our debt could increase by approximately $715 million or six times our first quarter net debt position while we have no intentions to borrow anywhere near that amount or close to that level it should the liquidity we have in our model at the end of the first quarter.We have no material debt maturities and no financial maintenance covenants on our senior secured term loan. Maybe on the fixed charge coverage ratio if borrowing increase 90% of availability. we had 375,600,000 in unrestricted liquidity available to us at the end of March including 289,900,000 in cash and cash equivalents and 85,700,000 in borrowing under our ADL facility.We believe the median liquidity available to us, coupled with our credit facilities and actions we've taken to reduce cost, provide us with the liquidity we need to manage through the impacted COVID-19 that's having on our business. That said we continue to prudently examine all financing alternatives to ensure we have the greatest possible financial flexibility if needed.We've also evaluated the Cares Act and impact on our liquidity and financial statements. We currently anticipate from three main sections. First, we're our tax return to take advantage of the temporary five-year net operating loss payback allowance and the technical question to qualified leasehold improvements which changes 39 new properties with 15-yaer property eligible for 100% tax bonus appreciationSecond we expect to benefit from the temporary deferral of full year payments for Social Security taxes and third, we expect to benefit from employee retention credits and potentially other provision within the Cares Act. We're finalizing our estimated positive cash flows from the Cares Act provision and expect them to provide us tens of millions in cash in the coming months to further help the liquidity.Let me spend a few minutes discussing how we make spending regarding to right-size our cost structure and protect our cash flow until we are able to restore our stores to full operations. We made cost reduction decision collaterally with all of our leaders with an towards reducing or deferring cost aggressively in the short-term but also knowing this too shall pass and focusing on maintaining the long tenured full time employee and partnerships we agreed over the last decade so that we'll remain a valued, sought after employee and partner.Inventory and the associated supply chain cost to get the inventory to our distribution centers and stores is our largest cash spend by far. We have good technology and a large team of smart leaders that evaluates our on hand, in transit on order and replenishment purchases so that we can quickly adjust our inventory and supply chain purchases. We have materials to load our inventory purchase orders based on these factors and we believe we are probably balancing the current flow of demand with our future point of sales and impact levels.We've also worked with our vendor partners to temporarily expand our payment terms to further support our cash flow. The next bucket of spending this capital expenditures. As Tom mentioned we've slowed our 2020 new store opening plan as well as reduced other areas of our capital expenditures in response to the COVID-19 pandemic. Total capital expenditures are currently planned to be between $147 million to $157 million compared to approximately $255 million to $265 million we have originally planned.Based on these changes, we expect our depreciation and amortization to be approximately $91 million and $93 million in 2020. Our planned capital expenditures and depreciation could vary materially from our estimates as we're operating in a very new environment but this is our current best estimate. We've reviewed each line in the P&L and have cut cost judiciously including temporarily freezing most new hires, reducing our advertising, non-essential store operating expenses, incentive compensation, travel and entertainment, professional fees, recruiting in new location and new store pre-opening expenses.We've proactively worked with our landlord partners to reduce our near-term store occupancy cost. We've created great relationships with the valued partners over the years and we know they appreciate our collaborative approach. As one of the few retailers who have been averaging 20% unit growth for the past seven years, we have built strong relationships.We intend to grow new stores and we notice have value to the landlord community. We also intend to grow at a faster pace in the future and we know this has value. We believe by being thoughtful and realizing these partners have businesses two on two, this will pay dividend now as well as in the future.We've lowered our cash expenditures for fiscal 2025 around approximately $4 million consistently of lowering operating expenses by about $100 our capital expenditures by $110 million and our inventory and associated supply chain cost by approximately $190 million. As previously outlined we're not giving sales and earnings guidance but our current expectations have modeling support for potential flow through on lowered sales to be in the 25% to 30% range on our sell flow of previous guidance.While we've modeled this flow through level, it is difficult to forecast in these environment and our flow through could be different. We've taken on some incremental COVID-19 expenses that are separate from our normal operations and all those in our earnings release and intend to do as long as they are material.One final thought on liquidity before I go into our first quarter performance. We enhanced our already retail financial models for the rest of 2020 as including downside scenarios and stress test of our liquidity. Our current view is our liquidity position will remain strong throughout 2020. We estimate we will use approximately $130 million to $150 million of cash from the end of the first quarter through early June as our sales will be negatively impacted by COVID-19 and as we pay bills that were incurred pre-COVID-19.As we get past early June, we are modeling increasing cash balances due to improved sales, assuming our stores reopened to the public and expenses are lower due to significant changes we have made in our cost structure as previously described. Forecasting in this environment is obviously difficult, but I'm happy that we have outperformed our model in April, both from a sales and liquidity perspective, and we're putting ourselves in a position to have enough cash to completely pay off our ABL in the quarter should we choose to do so.Let me now turn to our fiscal 2020 first quarter earnings goals. Our first quarter gross margin rate increased 30 basis points to 42.5% from 42.2% last year and was slightly above our expectations. The year-over-year gross margin expansion was largely driven by higher product margins, modestly offset from higher distribution center costs related to our new Baltimore distribution center that opened in the fourth quarter of 2019. The improved product margin reflects the benefit of lower costs from the elimination of certain tariffs as well as merchandising strategies to improve product gross margin.Turning to our first quarter 2020 expenses. Our first quarter selling and store operating expenses increased 20.2% to $153.1 million from $127.4 million last year. The expense rate deleverage of 88 basis points was 27.6% from 26.7% last year was due to opening 20 new stores since March 28, 2019, as well as the lower-than-planned sales the last six days of March and $1.3 million in unique costs associated with mitigation of COVID-19 on our business. Our comparable store selling and store operating expenses as a percentage of comparable stores decreased approximately 70 basis points as we leveraged occupancy, advertising and incentive compensation expense.General and administrative expenses, which are typically expenses incurred outside of our stores, increased $700,000 or 2.2% during the 13 weeks ended March 26, 2020 compared to the corresponding prior year period due to continued investments in personnel for our store support functions and increased depreciation due to technology investments to support our store growth.Our general and administrative expenses as a percentage of net sales decreased approximately 80 basis points to 5.6% from 6.4% in the corresponding prior year period due to lower accruals for employee incentive compensation during the 13 weeks ended March 26, 2020 as a result of COVID-19.Preopening expenses for the first quarter increased $1.4 million or about 35% from the same period last year. The increase is primarily the result of higher occupancy costs due to a longer period of possession prior to the store opening as well as an increase in the number of new stores that we are preparing to open compared to the prior year period. We opened three stores during each of the 13 weeks ended March 26, 2020 and March 28, 2019.First quarter net interest expense decreased $1.1 million or 38.1% from the same period last year. The decrease in interest expense was primarily due to a decrease in interest rates as well as an increase in interest income earned compared to the corresponding prior year period.Our first quarter effective tax rate was 17.4% compared to 16.6% in the same period last year. The increase in the effective tax rate was primarily due to higher discrete expenses for loss contingencies related to uncertain tax positions partially offset by the recognition of a higher income tax benefits related to stock option exercises compared to the corresponding prior year period.Moving on to our profitability. Our first quarter adjusted EBITDA increased 21.7% to $73.1 million from $60.1 million in the prior year quarter as our adjusted EBITDA margin rate increased 60 basis points to 13.2% from 12.6% over the same period.Our fiscal 2020 first quarter GAAP net income increased 20.6% to $37.1 million from $30.7 million last year. Our first quarter adjusted net income increased 21.3% to $36.3 million or $0.34 per diluted share from $30 million or $0.29 per diluted share last year. We ended the first quarter with 105.5 million diluted weighted average shares outstanding compared to 104.3 million shares last year.In closing, I want to personally thank all of our associates for their tireless work and dedication in serving our customers during these challenging circumstances.With that, I think we'll turn the call over to questions.
Operator: [Operator instructions] Our first question comes from the line of Simeon Gutman with Morgan Stanley.
Simeon Gutman: My first question, I wanted to get your view on housing and home improvement demand. And realizing there's no guidance here, some have a view that the downturn could look a little different for this segment for a bunch of different reasons. Curious what your take on it is. Do you think home improvement ends up being more insulated than a normal downturn?
Trevor Lang: Simeon, this is Trevor. I think we're all expecting things to be tougher. The consumer is going to be in a tough spot. They're going to build back their personal balance sheets. And so I do think the sector will be impacted just like a lot of sectors will.I will say, though, if you go back and look in history, back to that 2006-2008 time frame, peak to trough over a 2.5-year period, flooring sales declined 35%, and that's a lot obviously. And during that time, Floor & Decor did pretty well. We had adequate products, so we could sell to people who needed it. We have incredibly low prices, a very inspirational design center. And our prices were low.And so when you look at the overall value that exists, we think our attributes are accentuated during this environment. So yes, we think the environment will be tougher as we look forward. But I think value matters. And we have value in the sense of lots of products, low prices, really good-looking product, great salespeople, integrated website, Pro team to serve the professional customer. And so all those things give us a conviction that, yes, it's going to be a tough environment. But all the things we have will allow us to outperform the market like we have for a long period of time.
Simeon Gutman: Okay. And then my follow-up is on the competitive environment and then something that Tom had mentioned. Can you share what you're seeing competitively? You do operate against a lot of smaller businesses. And I wonder if others have stayed open through an essential classification, any anecdotes you're getting about hardship against competitors? When you open up, do you think you're going to open up to a full slate of them?And then related to what Tom said about leaning in following this period, does this mean that if things are back to normal in 2021, do you open up the stores that didn't get open this year and you add them to the expected '21 class?
Thomas Taylor: That is a long follow-on question. I'll try to get to as much of it as I can. Certainly, we have -- we put the safety of our customers and our associates first, and we made the decision very early on to go to a curbside-only model, that's evolved, and we're operating 3 models now. We've got a curbside model. We've got a Pro appointment model, and we do have two stores in Utah that have limited entry models.And the competitors are all over the Board. Some cities, they are doing what we do; some cities, they're staying completely open, and it really varies by market. And that's just -- as I've told my team, who's very aggressive to get us back opened up, safety for our customers and our associates will be first. And we'll -- as the government allows, we'll continue to open our stores. So that's the first part of it.I think the other side of this, it's hard to tell who will be standing. Certainly, if the independent, the smaller flooring stores, they're going to have a hard time maintaining liquidity in this environment, and we anticipate there'll probably be some more consolidation at the end of this.And then last question, our plan, and I didn't -- I know I probably didn't get to all the questions, but as many of them as I could. Our plan is to get back to 20% unit growth next year. So it's just -- everything is kind of shut down, it's kind of hard to get the stores built. So assuming that the economy reopens in a good fashion, our plans are to get back to our original plan.
Operator: Our next question comes from the line of Steven Forbes with Guggenheim Securities.
Steven Forbes: I wanted to focus really on the trends in the business post the transition to the curbside model. I mean, is there a particular category or region that differs greatly from the chain since that transition from a performance standpoint? And anything you can call out that's driving that difference, whether it's just geographical presence, urban versus suburban county exposure, et cetera?
Thomas Taylor: I mean the curbside model is doing -- it's been pretty consistent since we've opened. It's actually started to get a little bit better as time has gone on. It's hard to -- it's really hard to pinpoint saying, okay, until we reopened the stores and let customers come in on a normal basis, I think it's going to be hard for us to see if it's going to be better in urban or better in rural. It's just hard to give an answer on that.On a product standpoint, we're not seeing any difference really. The consumers are buying what they bought, they just paying less of it.
Trevor Lang: I'll just add with that two things. One, we exited last year, I think our comp was 5.2% in the fourth quarter. And we said, before COVID-19 hit those last -- previous to those last 6 days, we comped up 6.1%. So we thought our business would accelerate a little bit, and it did. So we were pleased with that.Continue -- the trends across the business continued where our rigid core volume continues to be our best category. The natural wood category continues to be probably our challenged category. Our newer markets continue to outperform our existing markets. So everything just got a little bit better.And I do think I want to mention one more thing that the follow-up on Simeon's question about real estate. What has been interesting throughout this period of time is we're now getting opportunities in real estate locations that we are -- that we would have loved to have been in and would have jumped in a long time ago.And so I do think that some of the benefit out of this is the way we've handled ourselves and negotiated with our landlords and just the strength of the business is, we're now getting opportunities in dense markets that would have been difficult for us to get into otherwise. So we are -- one bright lining of this difficult environment is the real estate opportunities are getting better for us.
Steven Forbes: And then a follow-up on the design services, right? You spent some time in the prepared remarks on the virtual services and just the engagement with the Pro. But maybe just expand on whether, right, your recent experience here and the engagement with both the DIY and the Pro consumer has changed your investment plans as it relates to design services. Whether that's just number of design associates in the stores or any sort of marketing plans around that, et cetera?
Thomas Taylor: Yes. Well, I mean, since most of our full-time associates, a lot of them were designers. They're still working. We tried to just accelerate a virtual design opportunity for customers. And we're -- the acceptance has been incredible. People still want to engage with our product. And so it's their new appointments and some customers that had previously been worked with, the number of appointments that we're doing has increased every week since we started it.The feedback has been terrific. I was in a store last week and watched a virtual appointment and its designer walking around the store and showing customer products and giving them inspiration. It's pretty incredible. So it's been a great experience. We're very excited about it. We're telling people on our website about it so that they know and they can engage in them.I don't know, Lisa, if there's anything that you want to add about the appointments?
Lisa Laube: No. The only other thing that I would add is that it has done extremely well, I think probably better than we expected. And I would say that going forward for the foreseeable future, we don't know how comfortable people are going to be out and about. So we think this virtual design appointment is going to be a great way for our customers to engage with the store and with the product before ever coming in.So we think it's a unique competitive advantage. And even when the stores are opened, we plan to continue to give the customer the option to have a virtual design appointment or come in and see one of our designers in person.
Operator: [Operator instructions] Our next question comes from the line of Chris Horvers with JPMorgan.
Chris Horvers: If it's one really long question, does that count? So a question. So first, your quarterly comp is pretty consistent with the last week of the quarter. And it seems like you have a lot more stores "open." Is that right? And why not better? Is it less DIY? Is it less Pro, where the consumer doesn't want that professional coming in and making the installation? Is there some sort of lag impact that's going on or maybe the Pro becoming nonessential in more states? Can you talk about that trend overall?
Thomas Taylor: I'll start, and I'll let Trevor jump in as well. Chris, it's been pretty consistent since we went to curbside. And first, I didn't know how it would go. I really -- I wasn't sure of when we went to curbside that it was going to be people just finishing projects, and so it may start off good and then slow down. And that hasn't been the case. It's been consistent.And then recently, it's gotten better. And I think as time goes on, people are -- they're still engaged with the product, and they still want to do -- I mean, look at how many virtual appointments we're doing, how many samples we're selling out of our -- on our website.People still want to engage in the product, and they still want to do it. So we're going to try to do our part in helping our Pros think about how they can be safer in customer homes. And how they can make sure that their customers, as they're getting it to the end users' homes that they can execute the right social distancing and they can be taking the right measures to make sure that customer feels safe in their stores.So I mean, that's a question mark on how the consumer will feel. But from what -- from people that I've talked to and from what I've seen , it's only -- it's a small sample of stores but we have reopened a couple of our stores, where there's not shelter-in-place guidelines and their comps went from really negative to positive. So I think there's still a need for the category, a still desire for the category.And it's hard really to -- Chris, to say, is it a Pro or DIY, I mean everything has kind of slowed. I think the Pros, when you go to the stores and you watch the curbside model, [indiscernible] a lot of Pros still picking our product.
Operator: Our next question comes from the line of Seth Sigman with Crédit Suisse.
Seth Sigman: I wanted to ask about the investments that you had initially planned for this year. I think it was expected to be somewhat of an elevated year of investments in-store growth and some other areas. Does that just shift into next year?Or conversely, is this a situation that serves as maybe a catalyst for longer-term efficiency? Should we actually be thinking about perhaps better operating leverage coming out of this as sales start to normalize?
Trevor Lang: This is Trevor. When it first all happened, we went through, and as we mentioned in some of the prepared comments and looked at every single line item, and anything that we didn't feel was mission-critical, we decided to delay on or cut. And so I think we cut our capital expenditures by, I think, low 40% cut. And we really tried to do everything that wasn't customer-facing or needed to be done.So we have a pretty big cut in our CapEx, obviously, going down to 11 new stores plus the design center had an impact as well. We actually sort of increased our budget a little bit for the class of 2021 just because of what we think we're going to open early next year. And hopefully, this -- one other silver lining of this is it's likely that we will have a [indiscernible] cadence of openings in fiscal 2021.And so I think on the operating side, we still have some more homework to do. There's -- we are learning things in this that we would have probably never learned before. And so I think it's probably too soon to tell. But I don't know, if Tom or Lisa, if you have anything, but that would be my answer.
Thomas Taylor: No. I think that's right, Trevor. I do think it is that we are learning about different ways that we can operate, which could take some costs out of the business, and we'll be thoughtful in that approach and take the right steps to try to be.
Operator: Our next question comes from the line of Mike Lasser with UBS.
Mike Lasser: So you've offered a lot of varying data points and viewpoint on this call. So Trevor said that during the last recessions flooring dropped 35%. This time around, unemployable will matter more than anything. Tom, you mentioned that when you open a couple of stores, they comp positive. There may or may not be pent-up demand because Pros have been allowed in consumers' homes.So putting all that together, I think the critical factor that we're all trying to determine is once -- whatever the new normal is up and running, call it, in the third and fourth quarter, should we think about relative to that benchmark that you said of flooring being down 35%, should flooring be down maybe half as much this time around?And because of the competitive positioning of Floor & Decor, you could do twice as better than that. So if the category is down 15% to 20%, in light of everything, it's reasonable to expect that maybe your comps are down mid- to high singles?
Trevor Lang: Yes. This is Trevor. One other thing I think that's interesting. We're obviously a much bigger company. In the last downturn, the company was like $200 million and this time around, COVID-19, I think we would have been around $2.5 billion. So a much bigger company. But one of the benefits of being a bigger company is we just have a lot more information and data. Lisa's team has done a really good effort in helping us understand our customer better.And when we dug through some of that, our average customer income now, we estimate is between $100,000 and $125,000 versus the U.S. median in the $60,000 range. We age up. We're probably 35 to 64 years old. They've lived in that house for 11 to 15 years. And so when you add all that up, that consumer, that person who's buying from us has a good amount of discretionary income. And when you look at the people who are unfortunately being impacted by this, it's the lower income level folks that are being heavily impacted by that.And so I do think that with the combination of when you look at the industry, with all the success we've had, with all the success the home centers have had over the last 10 years, the majority of the industry today is still 65% small-ish independent-type companies. And I think they will struggle on this.And as I mentioned before, the value player, value meaning price, value trend-right assortment, value meaning in-stock inventory, we believe we'll take a disproportionate share of market share during this period of time. So I don't know exactly what that looks like. We're all trying to figure that out over the coming months. But we have -- certainly, we believe, we put ourselves in a position by keeping all of our full timers by taking care of our professional customers, by taking care of all of our vendor partners that we are in the best shape possible to take care about that customer when we open the doors.And as Tom mentioned, it's only a 2 store test. Our 2 stores that we've opened this in, but we went from comping negative to positive. And so we'll see. We've got a lot of -- lots to learn over the next coming months, but we're in a fantastic position to take the most amount of business that's available as we open our doors.
Operator: Our next question comes from the line of Matt McClintock with Raymond James.
Matt McClintock: It sounds like you've been quite busy. A lot of detail on this call, so I really appreciate it. I guess the first quick question is, I kind of want to ask this Pro question differently. Tom, when you maybe do surveys of the Pro right now, or talk to the Pro when you're in the store, what are they saying about jobs cancellations versus just jobs being pushed back in terms of deferral?Like I'm just trying to get a better sense of how much demand outright was just cut off versus how much demand is likely there, just waiting for people to be able to go back -- feel comfortable again to get -- have these contractors come into their house, et cetera?
Thomas Taylor: I have heard the majority now anecdotally, right? So talking to the stores and our operators and talking to some Pros, where I've been able to be in stores, it has been more pushback and -- but not cancellation. And we have an installation partner, that's kind of an arm's length relationship that we can recommend to customers. And they're telling us the same thing that it's is not job cancellations, it's job pushbacks.And I think that as restrictions ease and as Pros get educated on how they have to communicate to the end user, how they're going to enter the home, how they're going to wear masks and how they're going to wear gloves and how they're going to disinfect during the job and how they're going to maintain social distancing, then I think consumers will become more and more acceptable of them entering their homes. But we're not -- we have -- I don't think it's a big cancellation of jobs. I'd absolutely heard it's more of a delay in jobs.
Operator: Our next question comes from the line of John Baugh with Stifel.
John Baugh: I was curious if you think there might be some longer-term reaction to sourced product coming from China, whether you factored that into your longer-range sourcing strategy?
Lisa Laube: It's Lisa. So it's a really interesting question. On the immediate term, thankfully, most of the countries have reopened, and we're starting to get product. So we've not, at this point, seen any customer preference change. As the tariffs and the ADD and CBD changes have happened over the last 1.5 years or so, we've dramatically reduced our reliance on China for sourced product.Pretty much the only thing left in China right now are those things that can only come from China. And so if we have another country option, we've moved product to those countries, and we will continue to do that. So whether it's working with some of our manufacturers to open up manufacturing in other countries or finding resources that we didn't know about in other countries, that landscape continues to change.But yes. So I think for us, we will continue to make sure that we're diversified and that we have the products that the customers want and expect from us.
Operator: Our next question comes from the line of Peter Keith with Piper Sandler.
Peter Keith: Congrats guys, it's tough environment. You guys seem to be doing a great job. Funny to say, good job at being down at 50%. I guess we thought it'd probably be worse than that. So that feels not so bad given everything that's going on.There's a thesis going around that people are spending a lot more time at home, that they're probably getting a little more fed up on their flooring and other aspects of the home. And I was wondering if you could give us some commentary on maybe what you're seeing with your web traffic. It might be a little hard to disaggregate with stores closed, but does it feel like there's a little bit more browsing, more shopping going on that could suggest potentially some pent-up demand in the back half of the year?
Lisa Laube: Well, it's very hard to say because with the curbside model, I think we -- Tom had mentioned in his script, something like 60% of the sales right now are coming through the website because of the curbside model. So it's a little hard to look at that differently.But we do look at traffic, and the traffic is up on the site. So conversion is obviously where the majority of those are coming from, the people that were browsing before and then going into the store to purchase, they're now purchasing online and then going to the store to pick it up. But yes, we have seen definitely an increase in traffic, increase in time spent, increase in visualizer utilization.And so I do believe that in this new environment, we will see more customers shopping online and either picking up or maybe even having the product delivered for us. But yes, we are gearing up, and we are working on other things to do for our website to make that an even better, easier shopping experience for the customer going forward?
Thomas Taylor: I think, Peter, the other thing I'd say, and again, it's not -- it's more anecdotal, but it's -- there's -- we are hearing a lot of as people have the shelter in their homes and stay in place, that there is lots of -- they're finding a floor that they may not have liked or a backsplash that they're tired of or a bathroom that's really old.And so if people are going to travel less and they're going to -- while the economy reopens and the country reopens and they'd get out, they still -- they may put some of that discretionary income that they had that they would have used for vacations. They may put that into their house. So we are hearing some of that as well. But no one really knows. We'll see.
Operator: Our next question comes from the line of Chuck Grom with Gordon Haskett.
Chuck Grom: You stated in certain markets, I think the 2 in Utah that you've opened up those stores and comps have turned positive, which is obviously a great sign. When you look ahead, it seems like you're being a little bit conservative on when you guys could open the majority of the chain. There's a number of companies even Macy's today articulated the plans to open up all their stores by the middle of June. So I guess just what are you guys looking for to open up those stores?And as a follow-up to that, just curious, in the April quarter-to-date number down 50%, if there's any geographical differences between the coast to the middle of the country, down south, what you guys are seeing would be helpful.
Thomas Taylor: Yes. I'll take the first part on the openings, and the last part, we're really not seeing much difference geography-wise. It's hard -- it's really hard to ascertain that, but we're not seeing much of a difference there. I will say that we'll open up a bunch of stores tomorrow as States have lifted some orders, we'll be able to get some of our stores opening into a limited entry, controlled amount of customers that will be allowed, that will vary by local jurisdiction, but we'll have a decent amount of stores that get to let customers back in starting tomorrow. And we anticipate that by the end of May, we would have about 70% of our stores open.So that could change. We're going to follow, as we said in my prepared comments, the reopenings will be staggered, and they'll be dictated by local, state and government authorities and health official mandate. So we'll be thoughtful in the way that we do that. But as we here today, I was -- I'm actually a little surprised that we're going to be able to open up more stores tomorrow and -- but we do anticipate by everything I read and see that by the end of May, 70%.
Operator: Our next question comes from the line of Kate McShane with Goldman Sachs.
Kate McShane: Just following up on the question earlier about the supply chain. It doesn't sound like you're having any major supply constraints right now. But just wondering too in the current state of the world and the environment, if suppliers are willing to negotiate any more on price?
Lisa Laube: It's interesting question. So far, we have had some luck on that. I mean, currency has helped us. The fuel and pricing has helped us some. So yes, I do think there is some opportunity on that front going forward.
Operator: Our next question comes from the line of Greg Melich with Evercore ISI.
Greg Melich: One quick follow-up. Did you guys say that DIY was stronger than Pro since you closed the stores? I thought I heard that, but it cut out for a second.
Thomas Taylor: No. We didn't say that.
Operator: Our next question comes from the line of Jonathan Matuszewski with Jefferies.
Jonathan Matuszewski: You guys alluded to the Pro appreciating some of the concierge-like services you're offering at curbside and mentioned that many of them are asking for those to continue on the other side of this. So are there other changes that you've made in the business beyond the virtual design appointment that you would anticipate to carry over on the other side of this?
Thomas Taylor: We are looking at that. I mean, there's absolutely -- if you go pre COVID-19, when a customer wanted to pick up something in a store, they pulled up to the back of the store. They checked in at a command center, then they had to go back outside and wait, and we've changed to this where you pull up to the store, there's someone outside. They greet you and find out you're going to get your determinations communicated to inside the store to get the product out quicker. And certainly, every Pro that I've talked to is like, this is terrific. I don't have to get out of my truck. I really like that.So I think we'll have to pay attention to that. And I think we'll have to react to some of that. And I think between that, and I think the virtual design is learning. I still don't virtual design -- it's doing good because customers can't come into the store. I think it will do good, but it won't replace customers wanting to touch and feel the product and get inspiration out of our stores. So I think that they'll want to continue to come in.But a big part of -- we'll have to change lots of the way that we operate. We're learning and we're surveying people that are buying in the stores today to get an understanding of what they like and what they don't like, and we'll react accordingly.
Operator: Our next question comes from the line of Seth Basham with Wedbush Securities.
Seth Basham: My question is pretty simple. Could you give us any color on what you're seeing from a mix perspective as it relates to good, better, best? Are you seeing customers trade down at all or trade from one category to another?
Thomas Taylor: At the end of the first quarter, our best category continued to be our best-performing category. The comps on our best SKUs are better than our good and are better than our better. So we haven't seen a trade down in -- so far. Even during the drive-through, we really -- as we've gone to a curbside model, we haven't seen customers trading down to just by an opening price point or things of that nature yet.We'll see as thing goes. But the value of our best products is so significant and the looks of our best product are so great that we still think when a customer is going to take on this type of project, I still -- they're going to lean towards the better stuff.
Operator: Our final question comes from the line of Greg Melich with Evercore ISI.
Greg Melich: I'd love to hear if there's anything in the CARES Act that you guys are able to take advantage of and/or that you could help some of your Pro customer's particular use as they try to manage their business through this tough time.
Trevor Lang: Greg, this is Trevor. So there is. There's 3 main pieces of the CARES Act that are going to help us, and it's going to be in the tens of millions of dollars. The biggest one for us is most of the CapEx we spend on our stores, the IRS makes us depreciate that over 39.5 years. They've changed that, so we're going to get to take an immediate deduction for that.That's going to be in the tens of millions alone. The government has also allowed companies to not play the -- to defer the payment of the 6.2% social security taxes the employer portion of that. That's probably about $10 million for us that we will then pay back in 2021 and 2022.And then there's also components of the CARES Act that relate to employee credits for people that were negatively impacted by COVID-19. So if we had to make someone stay home or someone who's ill, we'll get several million for that, we think, as well.We've also analyzed -- there's lots of opportunities to borrow the banks. And as you know, the banks and the government are still figuring that out. We've analyzed all of those as well. As we said in the prepared comments, we don't think we really need to borrow anymore. And we don't think we would use the government funds. We have access to capital markets. The banks would love to lend to us, credit CLOs and those folks would love to lend to us. So we've analyzed that, too, but I don't think we would go down that path either.One other thing I think, just based on some of these questions, at least and Tom answered this that I thought it was interesting that really talks about the demand as we've seen our sample sales go through the roof, and we already had a strong sample process already. And so that also gives us a bit of an indication that customers are looking and they're wanting to see things.And through our CRM tools, we have the capabilities to follow up with those customers. And so as we open our doors, as Tom said, we're going to open a lot of doors this Friday. We'll hopefully have 70% of the doors opened in the month of May. And in June, all of our stores will be opened in a different environment. We're going to be aggressive in following up with those.And one last thing, just on the Pro piece, I talked to a couple of Pros as well. And what they had said before is they had as much backlog as they wanted in past. And now they just -- they still have the backlog, it's just not as much as it was. And so I thought those were some interesting components. Our Pros are still busy. They just need to be able to get back into our stores. And when the consumers feel more comfortable with, I think they will have a backlog to work.
Operator: This concludes our Q&A session. I'd like to hand the call back to Tom Taylor for closing remarks.
Trevor Lang: Well, thanks. First, I'd like to thank everyone for their interest in our company, and we appreciate everyone joining our call. I also know there's a lot of associates in the store support center and in our stores that are listening to the call, and I'd like to thank them for all of their hard work and for our associates in our stores for putting safety first and adhering to our safety protocols.It's a tough time to talk about business with all of the human tragedy that's come about because of COVID-19 pandemic. And the priorities of the country in the world have to be to stop the spread and to find a cure. That's the most important priority.But when it comes to Floor & Decor, it's -- we ended 2019, as we said in our script, with record sales, record profit, highest liquidity levels ever, highest service scores ever and an incredible culture intact within our store support center and within our stores. And we've tried to be thoughtful in the way that we think about this, and we do see a path forward to restoring growth again.Like I said earlier, we believe that 70% of our stores will be opened during the month of May. We do believe that in 2021, we will get back to 20% unit growth. And we're fortunate because of the cuts that we made. We were thoughtful, and our store support center associates are still there and our full-time associates are still there, and we're able to ramp them back quickly.So we're poised to come out on the other side of this pandemic in a really strong position and should have a great ability to take share. So again, thanks, everyone, for joining the call, and we look forward to updating you in the next quarter. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.